Operator: Good morning and welcome to the Criteo Third Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that the media is welcome to participate in listen-only mode throughout the entire conference call. Please note this event is being recorded. I would now like to turn the conference over to Edouard Lassalle, Head of Investor Relations. Please go ahead, sir.
Edouard Lassalle: Thank you, Laura. Good morning and good afternoon to all of you and welcome to Criteo's conference call on our financial results for the third quarter ended September 30, 2015. The speakers’ on our call today are JB Rudelle, Co-Founder and CEO, and Benoit Fouilland, Chief Financial Officer. After our prepared remarks, Eric Eichmann, President and Chief Operating Officer will participate in the Q&A session. Please note that the earnings release issued before the opening of the U.S. market today, along with a live webcast of our call are both available on our Investor Relations website at ir.criteo.com. A replay of the webcast will also be available later today on our Investor Relations website. As usual, before we begin discussing our earnings, I would like to remind you that some of our discussions today will contain forward-looking statements. These may include projected financial results, or operating metrics, business strategies, anticipated future products and services, anticipated investment and expansion plans, anticipated market demand or opportunities and other forward-looking statements. As always, these statements are subject to risks, uncertainties and assumptions. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements. In addition, reported results should not be considered as an indication of future performance. Also I'd like to remind you that we will discuss non-IFRS measures of our performance during the course of this call. Definition of these metrics and the reconciliations to the most directly comparable IFRS financial measures are provided in the earnings press release and accompanying financial tables issued earlier today. Last, unless otherwise stated, all growth comparisons made in the course of this call are against the same period in the prior year. With this, I am now turning the call over to JB Rudelle, Criteo's Co-Founder and CEO. JB, please go ahead.
JB Rudelle: Thank you, Edouard. Good morning, everyone. I'm once again very pleased to report a good quarter of profitable growth. This marks the eighth consecutive quarter of exceeding our guidance for both revenue ex-TAC and adjusted EBITDA. In the third quarter 2015, our revenue ex-TAC increased 47% at constant currency to €120 million and our adjusted EBITDA grew 55% at constant currency to €31 million. It's also worth mentioning that for the first time in Criteo history, our gross revenue crossed the €1 billion landmark on the last 12 months basis. We believe this symbolic threshold illustrates how much our clients are engaged with our solution. At Criteo, we believe that when it comes to digital advertising, technology-driven performance is by far the most important success factor. The best way to measure this performance is by looking at the sales we generate for our clients. In the 12 months ended September 30, the post-click sales we generated for our clients increased 79%, while our revenue grew 64%. We believe that continued momentum in this direct result of the strong focus not only – let me get this again. We believe our continued momentum is the direct result of the strong focus, not only under our technology, but our technology specifically designed to maximize sales for our clients. Overall, all those years, our vision has that changed. We are glad to see that it generates very tangible results quarter-after-quarter. And there is no better incentive for our clients to increase the usage of our platform than our total dedication to performance. This translates into this pretty interesting statistic. Clients that were live in both Q3 last year and Q3 this year generated over 21% more revenue ex-TAC at constant currency. Well known by our long-term investors, another key indicator of Criteo's unique model is ability to generate quarter-after-quarter over 75% of our business from always on uncapped budget. This outstanding level of recurring business is extremely rare in our industry, which is typically played by high client [indiscernible] offered by most other players. So looking at this last quarter, our performance was driven by three main factors. First, as usual, we kept enhancing our technology across all our client base. Second, Q3 was another strong quarter of new clients’ addition across four regions. Third, our direct publisher relationships has nicely expanded too. Starting with the first driver, technology. As you know, over the last few years, we've seen a massive transition from desktop to mobile. This transition is now pretty much complete as 90% of our clients were using our multi-screen solution in September. We're excited about this multi-screen world as we believe it gives us a further opportunities to outperform competition. Thanks to a number of breakthrough mobile-specific technologies we have developed our win rates on mobile are often twice as high as on desktop or even higher. Not only does this give us a meaningful competitive advantage, but it also helps our clients to fully benefit from the strong momentum in mobile commerce. As a matter of fact, in Q3, mobile represented to 35% of our clients' e-commerce transactions and represented an even greater share of our own business. We are now going through another big trend, the shift from just using one device to a world where every consumer routinely uses multiple devices to complete the e-commerce transactions. Today, 40% of transactions involve multiple devices prior to the first stage. Our latest state of Mobile Commerce Reports reveal that mobile becoming the preferred purchase device for cross-device shoppers and most specifically, cross-device shoppers are 20% more likely to complete a transaction on their mobile device than the average user. To take advantage of this massive trend, we are particularly excited about Universal Match cross-device solution, which combines all devices into a single user experience for marketers. I'm very pleased to see that over two-third of our clients are now sharing anonymous CRM data with us. Our quickly expanding footprint enables the exact match of more and more users of cross-device, we clearly believe then cross-device shopping is the future and we'll continue to invest accordingly to further expand our Universal Match solution to make it hopefully the gold standard of our industry. Another important products is our In-App offering. While still relatively limited, In-App revenue ex-TAC grew [80%] quarter-over-quarter. As you know, users are spending more and more of their mobile time with In-Apps. While most of this time spent on games and social activities, we're seeing an increasing appetite for e-commerce activities. Among the clients, those who had already made the app's experience their priority are now generating over 50% of all their mobile sales from apps. In parallel, we continue to invest in our core technology across the board. As we indicated last quarter, our new creative platform allows us to optimize each individual creative component in ads, from the font color or the size of the picture to the call-to-action or price discount, resulting in a infinite number of personalized combinations. Our enhanced creative optimization platform was rolled out to many more clients Q3. And in September, we generated close to 40% of our revenue ex-TAC from clients using this enhanced platform. Moving now to our second growth driver, new client additions. In Q3, we added over 720 net new clients, while maintaining our client retention rates north of 90%. We ended the quarter with close to 9,300 clients, growing 41% year-over-year. While we added large clients in all markets, continuous investments in mid-markets translated into 100% plus growth on a revenue ex-TAC basis. We believe our mid-market penetration of the global addressable market is still in single digits. In addition, there are still a lot sizable mid-market advertisers that remain to be signed. In a way to confirm this, we're pleased that the average revenue ex-TAC by live mid-market client continues to grow, 14% year-over-year in Q3 and 8% sequentially. The third growth driver was the further development of our direct publisher relationships. In Q3, we added a record of almost 1,000 publishers, and reached 11,800 direct relationships. At the end of the Q3 already more than 1,500 of our advertisers were live on Facebook Mobile via integration with dynamic product ads aka DPA. We believe our Universal Match cross-device solution nicely complements Facebook Cross-Device on its own inventory. Just to close on supply side, I would also like to provide an update on ad-blocking. As discussed previously, we don't see consumers being massively against digital advertising overall. However, as expected, we are seeing a clear trend towards so-called acceptable ad formats and we're glad to see the industry starting to recognize this. Moreover, we believe that ad-blocking could paradoxically create new exciting growth opportunities for players who had the right exact and expertise. As an analogy, our innovative technical solution for Safari users had interestingly turned the complexity around mobile privacy into a sustainable competitive advantage for us. Moving now to our performance by region. We're once again very pleased with the execution across all GOs. In the Americas, our revenue ex-TAC grew 67% at constant currency. Our business with new large clients accelerated by over 60% compared to the prior quarter. And furthermore, we grew our U.S. mid-market business by over 150%. In EMEA, our revenue ex-TAC grew 33% at constant currency, consistent with prior quarters. It's interesting to stress that all our larger Western European markets continue to grow at robust double-digit rates. In Asia Pacific now, revenue ex-TAC grew 53% at constant currency and 14% sequentially. Southeast Asia in particular continue to expand quickly with exciting progress in the promising Indonesian markets, potentially very big one. In China, our export business on behalf of our Chinese clients continue to see good momentum. And we are pleased to confirm that as planned, our Shanghai data center will be fully operational before the end of the year, paving the way to start scaling our domestic Chinese business in 2016. Looking ahead, we remain focused on our two key product priorities. One first, continue to invest in mobile with a strong focus on everything that increases sales. This includes apps, native ads and our Universal Match cross-device solution. Second big product priority, continue to expand into additional strategic marketing channels, in particular search marketing is one of our major long-term growth projects for 2016 and onwards. We are putting significant efforts into this field with a dedicated 50-strong team working exclusively on this new long-term opportunity. Looking forward, we are highly committed to our vision of becoming the preferred marketing partner for our clients. In closing, we believe our Q3 performance continues to demonstrate that quarter-after-quarter, we execute in-line with our growth plans and our investments are paying out confirming the solidity of our vision. We clearly look forward to updating you next quarter on our achievements and growth plans for 2016. With that let me turn the call over to Benoit, our CFO. Benoit?
Benoit Fouilland: Thank you, JB and good morning, everyone. I'm also very happy to report another good quarter to-date. As usual, I will walk you through our quarterly financial performance in detail, as well as our guidance for the fourth quarter of fiscal 2015. I will then open up the call to your questions. In the third quarter, we continued to deliver strong, profitable growth exceeding our revenue ex-TAC on adjusted EBITDA expectations. Our revenue increased 54% or 46% at constant currencies to €299 million, growing 10% sequentially. As you know, revenue ex-TAC is a key metric we use to monitor our business performance. Revenue ex-TAC grew 55% or 47% at constant currency to €120 million compared with €78 million in Q3 last year. Our revenue ex-TAC margin was at 40.2%, consistent with prior quarters. Looking at our revenue ex-TAC performance by region in the third quarter, the Americas region continued to grow rapidly at 88% or 67% at constant currency to €43 million. EMEA grew 34% or 33% at constant currency to €52 million. Asia-Pacific grew 59% or 53% at constant currency to €25 million. Compared to guidance, changes in foreign exchange rates had a negative impact on our reported revenue ex-TAC in Q3, driven by the high volatility intra-quarter, in particular for emerging markets currencies like the Brazilian real. When compared with our Q3 guidance rates, change in Forex generated €1.6 million headwind, meaning that our Q3 revenue ex-TAC would have been €122 million using the Forex rate assumption upon which our guidance was based. Compared to Q3 2014, last year, however, Forex continue to represent a tailwind also to a lesser extent than in prior quarters. On bolstered, our reported revenue ex-TAC growth by 8 percentage points in Q3. Moving now to our profitability. Adjusted EBITDA grew 58% or 55% at constant currency to €31 million. Adjusted EBITDA margin as a percentage of revenues was 10.5% compared with 10.2% in Q3 2014. Our growth in adjusted EBITDA was driven by our revenue ex-TAC performance in the quarter as well as lower than anticipated spending on certain items. In particular, we incur approximately €2 million of savings primarily due to the successful outcome of the negotiated exit from our New York office lease and lower than anticipated employee relocation expenses. In addition, approximately €3 million of previously planned expenses did not materialize in Q3, but will instead in Q4. These relate primarily to internal IT hiring expenses. Moving to our other cost of revenues, hosting and data cost grew 66% to €15 million. Excluding CapEx amortization, other cost of revenue grew 53% to €8 million driven by continued investment in server and hosting equipment including our brand new Hadoop cluster. Our operating expenses increased 50% to €88 million as we continue to scale the organization to support our growth, in particular with respect to R&D and sales. On a non-IFRS basis, operating expenses grew 54% to €81 million. Consistent with prior quarters, headcount related expenses represented 75% of our total operating expenses. We ended the third quarter with 1,750 employees, representing a 48% increase compared with Q3 last year. We added 449 net new employees in the first nine months, overall in line with our 2015 hiring plan. Looking at operating expenses by function, non-IFRS R&D expenses grew 69% to €17 million. This was largely driven by a 56% increase in R&D headcount to 360 employees at the end of September. In Q4, we intend to continue to invest in R&D. Moving on to sales and operation. Non-IFRS operating expenses increased 52% to €48 million. This was also largely driven by a 44% increase in headcount to 1,085 employees at the end of Q3. In particular, in our mid-market organization. As a percentage of revenues, non-IFRS sales and operation expenses decreased 0.3 percentage points year-over-year to 2.6 percentage points sequentially. Out of the €2 million savings I mentioned earlier, approximately €1 million was generated in sales and operation. In addition, sales and operation accounted for approximately €2 million of the €3 million OpEx initially anticipated for Q3, which we'll now incur in Q4. We plan to continue to scale our sales and operation teams in Q4, in particular in our mid-market hubs in Boston and Barcelona. In G&A, non-IFRS operating expenses increased 48% to €16 million. Our headcount grew 54% to 304 at the end of September, driven primarily by internal IT and HR teams. As a percentage of revenue, non-IFRS G&A expenses decreased by 0.2 percentage points year-over-year and 0.7 percentage points sequentially. G&A will account for the remaining €1 million of OpEx that was planned for Q3 and will now be incurred in Q4. We intend to continue to scale our G&A function in Q4. Before we move to our cash generation, I would like to say a quick word about financial income. In Q3, we incurred a €6 million financial loss compared with a €6 million of financial income in Q3 last year. The result of the €6.3 million non-cash foreign exchange loss on intragroup position primarily with our Brazilian subsidiary. The exceptionally strong volatility in the Brazilian real, and its 30% fall against the euro in Q3 negatively impacted our financial income despite our startup hedging program. Net income for the quarter was €5 million, primarily as a result of the negative financial income I just explained, on an exceptionally high effective tax rate in the quarter. Adjusted net income in Q3 was €11 million, leading to an adjusted EPS of €0.16 on a diluted basis. In Q4, we expect changes in Forex to continue to impact negatively our financial income, leading to a slightly higher loss for the full year than in the nine months to September. In Q4, we expect to recognize deferred tax assets in the U.S. leading to an anticipated effective tax rate between 20% and 25% for the full year 2015. Moving now to cash generation. Our cash flow from operating activities increased 43% over Q2 to €16 million, that decreased 38% compared with Q3 2014. This was primarily driven by an unfavorable change in working capital, particularly impacted by an increase in other receivables, including [VAT] prepayments in relation to new facilities and implementation fees related to €250 million revolving credit facility. Separately, our income taxes paid increased significantly compared with Q3 last year. For the first nine months of 2015, cash flow from operating activities grew 32% to €63 million. Our CapEx for Q3 increased 93% to €22 million, growing 30% sequentially. This was largely driven by hosting CapEx for our new cluster on our Chinese data center, as well as facility CapEx for our new offices in London and New York. As a percentage of revenue, CapEx was 7.2% in Q3 and 6% for the first nine months of 2015, in line with our previously disclosed expectation for the full year. As JB said, we expect our Shanghai data center to be up and running by mid-November. In Q4, we plan to continue to build and maintain additional hosting capacity in all regions. Our free cash flow in Q3 was flat compared to Q2. Similar to last quarter, this was primarily the result of unfavorable working capital impacts on our operating cash flow, as well as the significant increase in CapEx in line with our plans. For the first nine months 2015, free cash flow stands at €14 million. The combination of adjusted EBITDA into free cash flow for the last 12 months to September remains high at 38% and continues to reflect our scalable financial model. Finally, total cash and cash equivalents were at €281 million at the end of September, a €9 million decrease compared with December 31, 2014. This was primarily driven by free cash flow generation on proceeds from capital increases over the nine months period, which were more than offset by the cash consideration paid for DataPop, the change in other non-current financial assets and the repayment of borrowing. Here again, foreign exchange had a negative impact, 50% of the decrease in our cash position over the nine months period related to change in Forex rates. I will now wrap up with our guidance. I remind you that the following forward-looking statements reflect our expectation as of today, November 4, 2015. For the fourth quarter 2015, revenue ex-TAC is expected to be between €134 million and €139 million. We expect adjusted EBITDA for the fourth quarter 2015 to be between €39 million and €46 million. Despite the €4 million Forex headwind as compared to the assumption made at the time of our prior guidance provided on August 4, we reiterate our revenue ex-TAC outlook for fiscal year 2015, which we expect to be between €470 million and €475 million. At the midpoint of the range, this would imply a 56% reported growth compared with 2014 or 47% at constant currency. Excluding the Forex headwind, management would have expected to raise revenue ex-TAC guidance by €4 million for the full year. Despite the €2 million Forex headwind as compared to assumption made at the time of our prior guidance provided on August 4, we reiterate our adjusted EBITDA outlook for fiscal year 2015, which we expect to be between €120 million and €127 million. Excluding this headwind, management would have expected to raise adjusted EBITDA guidance by €2 million for the full year. Our guidance assumes the following exchange rates, the Euro-U.S. dollars rate of 1.11 for both Q4 and fiscal year 2015. The Euro-Japanese yen rate of 1.35 both Q4 and fiscal year 2016, the Euro-British pound rate of 0.73 for both Q4 and fiscal year 2015, and the Euro-Brazilian real rate of 4.37 for Q4 and 3.71 for fiscal year 2015. This guidance assume no additional acquisition are completed during Q4 2015. Overall, we expect the fourth quarter to be another exciting quarter for Criteo and we are confidence we will deliver strong results for the full year. With that, I now turn the call back to the operator to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator instructions] And our first question comes from Douglas Anmuth of JP Morgan.
Douglas Anmuth: Two things I wanted to ask. First just on the 4Q guidance for EBITDA, in particular, can you just walk through again those items that are perhaps shifting from 3Q into 4Q and then just explain kind of the EBITDA coming down there for 4Q in particular? And then on Universal Match and you said two-thirds plus of clients sharing anonymized CRM data, could you talk about what kind of lift and efficacy those advertisers are seeing and then also how that's translating into more spending with Criteo?
JB Rudelle: Okay so I take first the guidance question. So maybe just to clarify, with respect to the Q3 EBITDA, so we are the spending that was lower than anticipated and with two volumes, two different volumes. One is savings, we have €2 million of savings, which are final savings, with no delay in expenses and these were primarily due to the fact that we negotiated which we were not anticipated at the time of the Q2 earnings. We negotiated ultimately an exit from our building in New York. As you know, we just moved in New York, and we avoided then to have to pay for the cost of the remaining duration of the lease and that was the bulk of the €2 million. We have also lower than anticipated relocation expenses from employees that has also played into those €2 million. So that's what has been saved. Then there is €3 million of expenses that we were anticipated in Q3 that are now shifting to Q4. And those expenses relate primarily to internal IT hiring. Internal IT is primarily linked to large infrastructure projects that we have in place. So that explains why we had lower spending in Q3 and slightly higher spending in Q4 than what you were probably anticipating in your model.
Eric Eichmann: Okay, this is Eric Eichmann. Relating to the cross-device question let me say, first that we're very excited about our Universal Match solution for a couple reasons. One, if you look at our mobile commerce report, what's happening now is over 40% of e-commerce transactions are happening at cross-devices and this is one key issue for marketers today being able to know the efficiency of their spending and also in what state are you capturing people across different devices. As we said, two-thirds, over two-thirds of our advertisers have adopted our cross-device solution. I think we're in the process of building the overall, if we open graph, of course, device and also in the process, so taking full advantage of it. So I think you know current advertisers are seeing an uplift. We expect that uplift to continue to increase as we sort of hone in on the open graph and get more coverage and also we improve our technology to use that data.
Douglas Anmuth: Thank you.
Operator: And our next question comes from Brian Pitz of Jefferies.
Brian Pitz: A question on Facebook. So when you could update us on the quantity of business with Facebook and how you think about that opportunity going forward are you serving a meaningful number of ads into the mobile news feed at this time? And JB, I believe you said mobile win rates are twice that what you're seeing on desktop. Just curious what's driving that trend? Is it due to the lack of competition on mobile or something else? And how does this translate into the TAC you are paying out to your partners? Thanks.
Benoit Fouilland: Let me take your second question and Eric will address the first one. There are number of reason why we are more competitive on mobile. But I would say, in a nutshell, mobile is a more complex sandbox than desktop. The technologies are different and you have mobile In-App, you have mobile browser, you have the Apple world, you had Android world. And it makes this whole ecosystem mobile [index] and desktop, so it requires more sophisticated technology. And as our primary competitive factor is technology, it's no big surprise that we are, comparatively speaking, better on mobile than we are on desktop. That's why in a way we like complexity, because this is where we can create the biggest competitive gap. If the playing field were super easy, then it would be easier for many players to step in. Mobile is particularly tricky and you require A plus tech team to address this and this is what we believe and this is a structural advantage for the long term.
Eric Eichmann: Great and Brian, this is Eric. On your question on Facebook, we're super excited about our partnership with Facebook in Q3. We have now over 1500 advertisers that were live on Facebook Mobile through our integrated API with dynamic product ads, which is DPA, the product that Facebook offers. We continue to work closely with Facebook to make sure that the performance for clients for DPA are similar to what we see in other channels. This implies that we're going to extend the capabilities of the Facebook DPA and some of the things that we need to do on our side to get to the same levels. But overall, we're very happy with the direction we're going into and I would say that we have a very, very collaborative and very strong relationship with Facebook. In terms of overall impact of Facebook, I think what we said is we're in the high single-digits in terms of Facebook, our expectation obviously is that if all goes well and we continue to work the way we work with Facebook, we could see that being higher.
Brian Pitz: Great thanks for the color.
Operator: The next question is from Ross Sandler of Deutsche Bank.
Ross Sandler: Great guys, just two questions. JB, I know you're not going to get in the specific guidance for 2016, but what kind of growth rates broadly should we expect relative to the kind of low-40s that we're seeing here in 2015? And outside of the search initiative that you called out, what other major new revenue channels are in the works to keep these high growth rates going? And then second question I guess for Eric is, do you feel like the company's competitive advantage over other ad networks in mobile is bigger than what it was in desktop? And then last question for Benoit, the revenue for sales and marketing head or sales and marketing expense as a percent of revenue, like the measure of productivity actually improved nicely in the quarter. So do we feel like we've turned the corner on that and should we expect that to continue for the next few quarters? Thank you.
JB Rudelle: Thanks, Ross. So as you said, it's too early to give guidance for 2016. We will do this very gladly in next quarter. Regarding your question on our growth drivers in term of products. Yes, we insisted that search is a big effort and today we're putting a lot of resources and there is no revenue associated to this. So it's a pure investment. And the reason why we do this because we are committed to the long term and we believe this could be a very big long term growth driver for the company. We're not putting all our eggs in the same basket and there are other very exciting engines for us. We mentioned mobile and mobile is kind of a [indiscernible] for many things, it includes native ads, which is very exciting. It includes also obviously Facebook growth and cross-device and many other initiatives we're pursuing into this area. So net-net, we are growing both our core and our new products. And with always the mindset to maximize the long-term growth rather than squeezing a short-term profitability from the existing business. There's just so much more we could do in this business and this is why also investing so much in R&D, it's because we see a lot of opportunities down the road.
Eric Eichmann: Great. And Ross, this is Eric. In terms of the competitive environment, that hasn't really changed dramatically and we believe still we have three big competitive advantages that are meaningful and expand themselves, of course, to mobile. The first one is obviously our engine; our core performance engine drives more sales than others. The second one is the network effects associated with the big publisher and advertiser network that we have established. And the third one and this is I'll get a little bit more into, the mobile solution. But having a complete solution is becoming more and more critical, in particular in a world where you have cross-device shopping happening, right? So if you don't have a solution on desktop that covers all the browsers in a solution on all the mobile browsing environments and all the In-App environments, then it's very hard to offer an optimized way to do advertising for our e-commerce clients. So in terms of mobile specifically, what we're seeing is not just what JB mentioned in terms of seeing higher win rates, but we're also seeing a significant growth of our In-App solution and we're developing that rapidly, particularly on the supply side, we've connected to a number of our TV networks that are very specific to In-App and provide the ability to drive more sales. So we feel quite good about the competitive environment, I guess is the summary.
JB Rudelle: Okay. And Ross, with respect to your question on sales and operation, incremental leverage on productivity. I think you have to keep in mind; we're still every investment mode, in particular in mid-market. That being said, you've seen that some nice metrics in mid-markets, in particular, if you look at the revenue ex-TAC live mid-market clients, that continue to grow. So that shows that the momentum in this business is very positive. That being said, for the positive impact that you see this quarter, you have to keep in mind as well that there is a large portion of the savings, the €2 million savings I've talked about, I mean 50% of them are incurring in sales and operation. And in particular because the large portion of the office in New York is used by sales and operation people. So that has a bit of an exceptional impact in the quarter.
Operator: Okay. Our next question will come from Evan Wilson of Pacific Crest Securities.
Evan Wilson: Thanks. So in Q3, you characterize a lot of the incremental cost that you're facing in the quarter as one-time. Now €3 million of those are moving into Q4. Are you thinking that those €3 million of the internal IT hiring costs are moving from Q3 to Q4 now, still one-time and won't repeat in Q1? And the second question is just any comments on Q4 linearity, had a pretty good Q4 last year as your U.S. business had expanded and e-commerce companies spend more, are you still expecting that this year? Thanks.
JB Rudelle: You're absolutely right. We have spent significant time describing these one-time expenses in Q3. So those that are shifting into Q4 are of the same nature and they should be non-recurring expenses.
Eric Eichmann: And then on the second question regarding Q4, our visibility in Q4, coming into the big shopping period, which is the week of Thanksgiving, it's hard to know today, our expectations are that it will be a good year. But whether it follows exactly the pattern of last year or two years ago, it's hard to tell at this stage.
Operator: And the next question is from Deb Schwartz of Goldman Sachs.
Debra Schwartz: Great, thanks. I was wondering if you could just give us a better sense of revenue growth in the quarter from existing clients, meaning clients that have been on the platform for over a year versus those that have been ramping up throughout the year? And then similarly, could just give us some breakdown, Eric, of just retail environment? If you could give us a sense of what you're seeing from the travel clients as well would be helpful.
Benoit Fouilland: Okay. So the first question on existing clients. I think we - so it's 21%, I mean if you know that we believe with respect to looking at the court of clients that were there a quarter – a year ago, that's still this quarter, the growth has been 21%. So a good momentum there, slightly below the prior quarter, but very consistent.
Eric Eichmann: And in terms, Debra, I don't know if this answers your question, but obviously we will continue to invest in a big way in our core technology, that will continue to be an area of investment for us for the foreseeable future. And one of the big investments we talked about was in our new engine optimized for conversion value and now we have about 60% of our revenue ex-TAC on that engine, we're very excited about it. Having said that, not every client that we have wants to optimize around the conversion value because their margins might be different, it may not be proportional to the value of the item that is being sold. So our expectation is not that we will roll out these to 100%. Having said that, we also have, and we talked about our creative optimization platform and we've been deploying that to our clients. We're quite excited, I believe it was 40% of our rev ex-TAC and now that goes through that optimization platform. There is still a significant research and activity around improving our engine in particular product recommendations and continue to improve our creative optimization. So we're excited about the continuation of growth coming from that. How much it is again, it's a non-linear pattern when it comes to innovation, so it's hard to predict. Board continues to invest in it, which means that we're - we still see many gains coming from it.
Debra Schwartz: Thank you.
Operator: And next we have a question from Charles Bedouelle of Exane.
Charles Bedouelle: Hey, good morning all. Two questions, if I may. One is on China. It's obviously the second largest Internet market, you're going to restart I guess from 2016 onwards. Can you tell us a little bit what your expectations are here in the long run, I am not asking for any short-term guidance, but how big this could be as an opportunity? And the second question, I guess for Benoit. The run rate is quite high on G&A, do you expect this to slow at some point, because I understand that sales and R&D should grow very strongly. But when do you start to see some scale effect, where we see this component of the cost base maybe grow less quickly than we've seen so far? Thank you.
JB Rudelle: So China, how big could be China, that's a good question. It's one of the biggest e-commerce markets in the world, so in theory it could be very big and it could easily become at some point our second biggest market after the U.S. Now when it comes to China, you always want to be cautious in terms of timing. There is a lot of horror stories about foreign companies going to China and fail miserably. So far we have very good signs, but it's still very early. So it's much too early to put some numbers behind China. Now, the opportunity is big enough that as opposed to where the market where we tend to invest very incrementally. In China, we've put a lot of investments upfront with the team on the ground of significant size with our second office opening in Shanghai, with this data center dedicated to China. And so it's a much bigger effort that we do for the other new country opening, which means that we are much more ambitious for China than we would be for other smaller opportunities. And this is obviously something we will have to achieve on a regular basis in 2016 and onwards.
Benoit Fouilland: So with respect to G&A, just to recap the figures, in fact the G&A expenses are decreasing this quarter as a percentage of revenue compared to prior year and also sequentially. So 0.2% below what it was in prior year. So in our long-term model, as we shared with you at Investor Day and in the past, we have a view of having incremental benefits from scale in G&A at around 0.4 to 0.5 percentage point a year of improvement in our model. So I think we are seeing that coming through also this year. Obviously this year, you have to keep in mind that we have this transition to the domestic registrant status that comes with some additional expenses, but we are definitely committed to seeing scaling in that function over time.
Charles Bedouelle: Okay, it’s very clear.
Operator: And the next question is from Rohit Kulkarni of RBC.
Rohit Kulkarni: Great, thank you. Two questions, please. One on the search product, I know it's viz-a-viz, but from the offering that you would have in the market, do you expect to take a share of the search marketing budgets off clients or is this somewhat in line with what we have seen in the marketplace from three targeting companies? And on China, I was wondering if you had any other updates near term with regards to any publisher direct relationships that you may have signed already? Thank you.
JB Rudelle: Okay, so let me take the first one and Eric, can you share our publisher relationship in China? So when it comes to search, we're talking about the search marketing budgets, probably the optimizing the money people spend on Google, which is by far typically the biggest bucket of spending for a large part of our clients. We're not talking much search retargeting, which is much smaller in each market. So the reason we're committed to such a big investment is because we're going after something which is extremely strategic for clients. And we believe we can really optimize the spending in this area.
Eric Eichmann: And then on China, as you know, the Chinese market is a little bit different in terms of the publisher landscape, what you find in many other countries is that you have your traditional RTB networks like Google, Adex or Rubicon or Appnext that are presence in China, those are all local networks and we've connected with the large one, so examples are Baidu and Alibaba's RTB networks, and so we've been developing and every one of those requires a customized API integration. So we feel we're in a very good position in terms of having connected to those and now we're sort of moving towards developing direct relationships also with publishers. But again, China as JB said, we're in a long-term investment mode and we're very sort of cautiously optimistic, is that from a competitive perspective, we see ourselves being in very good position in China.
Rohit Kulkarni: Okay. And if I could ask just one quick question on costs and guidance for Q4, are there any incremental costs or incremental – you talked about cost savings and FX and delayed expenses, but are there any other incremental cost that you think were not included in your guidance before or is this shifting of cost being the primary reason?
Eric Eichmann: I mean besides sort of the natural seasonality between Q4 and Q3, the items that we've called out of the shifting of course are the main items. Now, you have to keep in mind that there is a natural seasonality of spend between Q3 and Q4. We historically add spending in Q4, which is slightly higher than in Q3 because of the ramp up of our investment as well as the seasonality of the revenue ex-TAC. So besides this natural seasonality, we've called out the items, the core items.
Rohit Kulkarni: Okay. Thank you, guys.
Operator: And our next question will come from Justin Patterson of Raymond James.
Justin Patterson: Great, thanks. I appreciate the comments on Facebook and the clients using the DPA product. I'm curious how you're thinking about Facebook going forward, with seeing a lot of video ads come on to the platform as of late, historically you haven't played much in that category, so curious how you're thinking about that video opportunity longer term? Thanks.
Eric Eichmann: I mean, video, it's a very different format. Today it's mostly used for branding campaigns. So we haven't been very active in video as a format as we focus primarily on performance. The more video that are in the market, the more video inventory to be precise, I think the more you're going to see the same thing happening toward the other formats where the pure brand campaigns, which tend pay very high CPM won't take 100% of the inventory. Today video tend to be sold out, because there is enough inventory. Now as video is going to expand and the web is going to become more mainstream and you're going to see more unsold premium inventory or renminbi inventory, whatever you want to call it. And this is where the opportunity is going to become more exciting for us. And we will take advantage of this growing inventory. So this is something that we monitor closely. And as soon as we see this balance between demand and supply from video trending to – have been historically with all other formats, we move in a much bigger, bigger way into video.
Justin Patterson: Got it. So to state the question differently, you're not too concerned that you lose out on inventory opportunities if video grows over time?
JB Rudelle: Video, we this purely as an incremental opportunity for us. It's definitely more we could do. Today we thought we would rather put our focus on mobile and cross-device matching because these are more – there are immediate gains to get from there. Video is more, I would say, two years, three years are recent opportunity.
Justin Patterson: Great, thank you.
JB Rudelle: We have a time for a one very last question and then we have to close the call.
Operator: Okay. The last question will come from Ralph Schackart of William Blair.
Ralph Schackart: Good morning. Benoit, I think last call you talked about potentially having some U.S. filing fees play out in either Q3 or potentially Q4, just curious if you incurred those. And then just in terms of Q4 guidance, just to ask another question around it, is the right way to think about it, if you look at your current guidance of about €39 million to €46 million and if we add back €3 million of extra OpEx that got pushed from Q3 to into Q4 and add back the €2 million of unanticipated FX. Is sort of the adjusted range to think about €44 million to €51 million or were there some other sort of fees or add-backs that you think about there? Thanks.
Benoit Fouilland: Okay. So maybe just to clarify your first question is with respect to the cost of preparing for becoming a domestic registrant. So we are progressing in that program. As planned and have incur the cost as planned. So with respect to your second question, could you repeat your second question, because I'm not sure that I'm 100% clear on it?
Ralph Schackart: Sure. I think there is some – still some many questions on the Q4 guide. Is it fair to say that Q4 guide previous year, prior call now would have about €5 million of unanticipated changes, €2 million in FX and should we think about the €3 million add back on OpEx as well?
Eric Eichmann: Yes. So if you're talking about the EBITDA there, I mean clearly we've incurred FX headwind compared to what we were anticipating at the time we guided, at the time of the Q2 results. That, we've detailed the impact, its €4 million on Rev ex-TAC and €2 million EBITDA. So obviously this headwind is impacting our figures, without this headwind, our guidance would have been, as we've stated probably higher. With respect to the €3 million of additional cost that are shifting from Q3 to Q4, these are, I'd say, the main items to keep in mind when you analyze the guidance here.
Ralph Schackart: Okay, thank you.
Benoit Fouilland: Thank you. End of Q&A
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Edouard Lassalle for any closing remarks.
Edouard Lassalle: Thank you, everyone for attending today's call and if you have any further question, please direct them to the IR team or to Investor Relations at criteo.com. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.